Operator: Thank you for standing by ladies and gentlemen, and welcome to the Euroseas Conference Call on the Fourth Quarter 2018 Financial Results. We have with us Mr. Aristides Pittas, Chairman and Chief Executive Officer; and Mr. Tasos Aslidis, Chief Financial Officer of the Company. At this time, all participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session. [Operator Instructions] I must advise you that the conference is being recorded today. We have a forward looking statement. Please be reminded that the Company announced their results with a press release that has been publicly distributed. Before passing the floor to Mr. Pittas, I would like to remind everyone that in today's presentation and conference call, Euroseas will be making forward-looking statements. These statements are within the meaning of the Federal Securities Laws. Matters discussed may be forward-looking statements which are based on current management expectations that involve risks and uncertainties that may results in such expectations not being realized. I kindly draw your attention to slide number two on the webcast presentation which has the full forward-looking statement, and the same statement was also included in the press release. Please take a moment to go through the whole statement and read it. And, now, I would like to pass the floor to Mr. Pittas. Please go ahead, sir.
Aristides Pittas: Good morning ladies and gentlemen, and thank you all for joining us today for our scheduled conference call. Together with me is Tasos Aslidis, our Chief Financial Officer. The purpose of today's call is to discuss our financial results for the three and 12-month period ended December 31, 2018. On May 30, 2018, the company spun off its drybulk fleet, excluding Motor Vessel Monica P, a handymax drybulk carrier which has been agreed to be sold into EuroDry Ltd., a separate publicly listed company also listed on the Nasdaq Capital Market. Shareholders of the Company received one EuroDry Ltd. share for every five shares of the Company they held. As a result of the spin-off and the subsequent sale of Motor Vessel Monica P, the Company has become a pure containership company and the only publicly listed company concentrating on the feeder containership sector. The results below refer to Euroseas Ltd. continuing operations excluding the contribution from Euroseas Ltd. of vessels spun-off into EuroDry Ltd. in May 2018, the discontinued operations. Historical comparative periods have been adjusted accordingly. Let's now turn to Slide 3 to see our income statement highlights. For the fourth quarter, we total net revenues were $8 million, net loss was $0.5 million, net loss attributable to common shareholders after a $0.2 million dividend on Series B Preferred Shares was $0.8 million or $0.07 loss per share of basic and diluted. Adjusted net loss attributable to common shareholders for the period was $0.8 million, or $0.07 per share of basic and diluted. Adjusted EBITDA was $1.2 million.  For the 12 months, total net revenues were $34.4 million. Net loss was $0.7 million. Net loss attributable to common shareholders after $1.3 million dividend and Series B Preferred Shares was $2 million or $0.18 loss per share basic and diluted. Adjusted net loss per share attributable to common shareholders for the period was $3.3 million or $0.29 per share basic and diluted. Adjusted EBITDA was $4.3 million. Please turn to Slide 4 for our chartering and operational highlights. During Q4 2018 and Q1 2019, most of our vessels opened up for chartering as we have deliberately kept duration short, delivering in the strengthening market which unfortunately didn't materialize. During Q4, two of our vessels namely MV Joanna and MV Akinada Bridge were idled looking for employment for 46 and 50 days respectively. However, we have been lately able to charter or extend all the vessels that opened up in direct continuation and thus, we do not expect to have any idle time in Q1 apart from the biggest part of January for the Joanna which was completely drydocked of course. Now in Q2, as we thus have two ships opening up for charters then and we hope, we will be able to extend them with their current charters. This slide in the presentation describes all the charters we fixed during Q4 until now in Q1 in detail. Please turn to Slide 5. Through our affiliated manager Eurobulk, Euroseas has managed to keep costs low. Our daily cost per vessel for the fourth quarter of 2018 was in line with our budget and similar to previous years. The graph in the page compares daily costs excluding drydocking since 2008 with our peers. Overall, our costs remain among the lowest of the public shipping companies. For the fourth quarter of 2018, our operational fleet utilization was 99.9%, compared with 98.9% in the fourth quarter of 2017. As discussed earlier, our commercial utilization in Q4 was only 90.8% as two vessels faced idle time prior to finding employment. Let's move to Slide 6 to view our employment chart. We have currently, about 72% coverage for the remainder of 2019. And as already advised, a 100% coverage for Q1 and close to 100% coverage for Q2. The average charter rates our vessels are fixed at is about $9,000 per day in Q1 and slightly less in Q2. Our strategy continues to be to fix for periods between 3 to 12 months when rates are below $10,000 per day if possible, always keeping in mind to have the various ships opening up in a staggered fashion, so as to minimize volatility, which can be significant as we have seen in this market, but also to be able to take advantage of the market we expect to improve further from second quarter 2019 onwards. Please turn to Slide 7. According to the January IMF project world GDP growth import in 2018, growth is still expected to be 3.7%, same as the previous quarter. Only the Eurozone and Japan have been revised downwards by about 0.2% to 1.8% and 0.9%, respectively. All other main countries expectations remains about the same. For 2019, global GDP growth is expected to be 3.5%, down from 3.7% expected during the previous quarter. The mix of the various countries is expected to be a bit different through those than in 2018. The developed world and China should grow a bit less than in 2018, while some areas of the developing world mainly India and Brazil should grow at a slightly faster pace. Based on Clarksons data containerized trade in teu minds grew 3.5% in 2018, against expectations of 4.7% just three months ago. Clarksons now expect trade to grow by 3.6% in 2019 and 3.7% in 2020. Slide 8 show the container ship industry's total order book to fleet ratio. The order book as percentage of total fleet is at near lowest levels of the last 20 plus years. Currently, the order book to fleet ratio is just above 10% and fleet growth year-over-year is just shy of 6%. Please turn to Slide 9 to see the feeder containership between 1,000 to 3,000 teu age profile and orderbook deliver schedule. Fleet growth is expected to be around 5.6% in 2019, much increased from the early 2018 expectations as quite a few orders were placed in 2018, especially led by the Far Eastern operators. Taking scrapping trends and slippage into account, we expect that actual fleet growth will be about 4%, still a bit below feeder demand expectations of most analyst. Please turn to Slide 10. The left side of the slide shows the evolution of time charter rates for containers of 1,700 teu since 2001. Container rates for vessels of our size recovered strongly from their all-time lows and came close to that historical level in the summer, prior to softening again a bit during third and fourth quarter. The right hand of the side shows vessel values in relation to historical prices. Container ship values are still below the historical values, and significantly below their expected new build depreciated values. We believe the current valuation still does not reflect the long-term revenue capacity of the ships, and of course significantly lags the depreciated new building values. Please turn to Slide11 where we summarized our views for the container market. After a very volatile 2018 where demand grew in the second half of the year at almost half its pace comparing to the first half, 2019 is shadowed by a lot of uncertainty in anticipation of a possible trade deal or not between the U.S. and China. Our supply/demand analysis which is based on Clarksons expectations for container trade growth, suggests a slightly improving market in 2019 carrying on at the same levels in 2020. For this to happen, we will need to see the current projection of the IMF on world GDP growth of 3.5% materialize, and as the IMF also admits, the risks currently seems skewed to the downside. The fundamentals for the sub 5,000 teu vessels, which seemed better than for the larger vessels, have deteriorated as the order book has swollen again following the recent feeder ordering. However, demand prospects for feeder size vessels remains positive as most of the growth in these sizes comes from intra-regional trades where robust growth is expected to continue in the years to come. In any event, no rate improvement is expected until sometime in the second quarter when it is hoped that the idle fleet may be absorbed. Environmental regulations coming into effect in 2020 create additional uncertainty as ships will be taken out of service to install scrubbers already in 2019 and the probable increase in low sulfur fuel prices can result in further slow-steaming, which in turn could help strengthen the market. I will not dwell on this pros and cons of putting scrubbers on vessels here as this method has been exhaustively discussed within the industry. Suffice it to say that together with 95% and more of the vessel owners, we will not install scrubbers on our vessels and will burn fully compliant fuels, thus also helping to protect the environment beyond any doubt. And as we expect to see an increase in rate and values once the effects of the current global uncertainty due to trade wars and the disruption due to IMO 2020 start settling. If the current weak sentiment continues for a bit, it could create opportunities to further grow the company by buying more cheap assets. Notwithstanding the above, we also continue to explore possibilities for growing our listed company firmer through mergers or otherwise if a partner providing mutually accretive synergies can be found. I will now pass the floor over to our CFO, Tasos Aslidis to go over our financial highlights.
Tasos Aslidis: Thank you very much, Aristides. Good morning from me as well ladies and gentlemen. I will take the next three or four slides to give you an overview of our financial results for the three and 12-month period ended December 31, 2018. The figures that we will review refer to the continuing operations of Euroseas as Aristides mentioned earlier that is after we strip the contributions of the vessels which spun off in May 2018 into EuroDry. Let's start by looking at Slide 13. For the fourth quarter of 2018, we reported total net revenues of $8 million, representing a 3% increase over total net revenue of $7.8 million during the fourth quarter of last year. We reported net loss for the period of $0.5 million and a net loss attributable to common shareholders of $0.8 million as compared to a net income of $0.7 million, and a net income attributable to common shareholders of $0.2 million, respectively, for the fourth quarter of 2017. Adjusted EBITDA for the fourth quarter of 2018 was $1.2 million compared to $1.5 million achieved during the fourth quarter of last year. Basic and diluted loss per share attributable to common shareholders for the fourth quarter of 2018 was $0.07 share calculated to 11.8 shares approximately basic and diluted, compared to basic and diluted earnings per share of $0.02 for the fourth quarter of 2017 calculated about 11.1 million shares basic and diluted. Excluding the effect on the loss attributable to common shareholders for the quarter of the loss on derivatives is same and gain on sale of vessels if any, loss per share attributable to common shareholders for the quarter ended December 31, 2018 remain the same $0.07 basic and diluted compared to adjusted net loss of $0.01 per share basic and diluted for the quarter ended December 31, 2017. Usually, security analysts do not include the above items i.e. sale of vessels and contributions from derivatives in their published estimates of earnings per share. Moving now to discuss the results for the 12 months period or the full year of 2018, and for that we can look at the right part of table. For the full year, we reported total net revenues of $34.4 million, representing an almost 45% increase over total net revenues of $23.8 million during 2017. We reported a net loss for the period of $0.7 million and a net loss attributable to common shareholders of $2 million as compared to net loss of $6.9 million and net loss attributable to common shareholders of $8.8 million, respectively for the 12 months of 2017. The results for the 12 months of 2018 include a $1.3 million gain on sale of a vessel, while the results for 2017 include a $0.8 million gain on the sale of a vessel, but also include $4.6 million loss on write-down on two vessels held for sale. Adjusted EBITDA for the 12 months of 2018 was $4.3 million compared to $1.9 million during 2017. Basic and diluted loss per share attributable to common shareholders for the 2018 was $0.18, calculated 11.3 million basic and diluted weighted average number of shares outstanding, compared to basic and diluted loss per share of $0.79 for 2017, calculated on 11.067 million weighted average number of shares outstanding basic and diluted. Excluding the effect on the loss attributable to common shareholders for 2018 of the gain or loss on derivatives and the gain on sale of a vessel, the adjusted net loss per share attributable to common shareholders for 2018 would have been $0.29 compared to adjusted net loss of $0.45 basic and diluted for 2017. Let's now move to Slide 14 to review our fleet performance for the fourth quarter and full year of 2018 and compare them to the same periods of last year. Let's start with our three-month numbers and first look at our utilization rates. As usual, we have broken down the utilization rate in commercial and operational. And as you can see on the left hand side of the slide, for the fourth quarter of this year, we reported a 90.8% commercial utilization rate and 99.9% operational utilization rate as compared to a 96% commercial and 98.9% operational utilization rate for the same period of 2017. I want to remind you here that our utilization rate calculation does not include vessels in scheduled drydock, scheduled repairs or in lay-up if any, during the reporting period. In the fourth quarter of this year, we operated 11 vessels with time charter equivalent rate of $8,577 per vessel per day, compared to a time charter equivalent rate of $8,057 per vessel per day during the same period of 2017, a period during which we operated 11.3 vessels on average. Total operating expenses including management fees, and general and administrative expenses, but excluding drydocking costs were $5,782 per vessel per day for the fourth quarter of 2018 compared to $5,734 per vessel per day for the same period of last year. As Aristides mentioned earlier, overall we believe we maintain one of the lowest operating cost structures among our public peers, and we think this is one of our competitive advantages in the business. Let's now look at the bottom of the table to our daily cash flow breakeven levels presented here on a per vessel per day basis. For the fourth quarter of 2018, we reported an operating cash flow breakeven level including loan and payments, but before any balloon repayments of $7,838 per vessel per day as compared to $7,129 per vessel per day for the fourth quarter of 2017. Let's move now to look at our full year numbers on the right part of the table. For full year 2018, we reported a 96.7% commercial utilization rate and 96% operational utilization rate compared to 97.5% and 99.5%, respectively for the same period full year of 2017. In 2018, we operated on average of 11.49 vessels and reported the time charter equivalent rate of $9,179 per vessel per day, representing a 25.6% increase compared to a time charter equivalent rate of $7,309 per vessel per day that we had recorded during 2017, a year during which we operated on average 9.28 vessels. Total operating expenses again, including management fees and general and administrative expenses but excluding drydocking costs were $6,225 per vessel per day in 2018 compared to $5,952 per vessel per day for last year. Again, looking at the bottom of this table, our daily cash flow breakeven level for the full year of 2018 was $8,465 per vessel per day compared to $7,513 per vessel per day for 2017. Let's now move to Slide 16. This slide shows on the right hand side, our cash flow breakeven budget for the next 12 months, and from the right hand part of the side, we show our scheduled debt repayments for the next three years. As you can see, we do not have any balloon payments coming up in the next two years during which we have quite low debt repayment levels. Our next balloon payments are not until 2021 when we have to pay a total of more than $23 million in balloons, and in fact all our debt currently scheduled to be repaid by 2021. Expressed in dollars per vessel per day, our loan repayments over the next 12 months amount to $1,300, contribution to our daily cash flow breakeven level. You can see that number at the bottom line of the table at the right. If we make assumptions about the other components, components of our cash flow breakeven like operating costs, G&A expenses, interest, drydock et cetera, we come up with an overall expected cash flow breakeven level for about $9,200 per vessel per day over the next 12 months. We believe that this relatively low cash flow breakeven level will provide us sufficient flexibility to fund, growth and deal with market developments. To conclude, let's turn to Slide 16. This slide gives some highlights from our balance sheet. As of December 31, 2018, we had unrestricted cash of $10.3 million and restricted cash of $3.4 million. We have now balancing other assets of about $3.3 million and our vessels at market value accounted for another $64 million, which is based on our own estimate. That results in total assets of about $80 million. At the same time, we had an outstanding bank debt of about $7.5 million, which represents about 47% of total assets. Preferred equity outstanding of $19.6 million, about 25% of total assets, as well as other liabilities of about $2 million. Thus we estimate that as of December, at the end of December, the net asset value of our fleet was about $18.5 million or roughly $1.48 per share. Based on our closing price on February 15, was about 7%, and that represents a significant discount to the value of the Company. And with that, let me turn the floor back to Aristides to manage the remaining of the call.
Aristides Pittas: Thank you, Tasos. Let's open up the floor for any questions that we might have.
Operator: [Operator Instructions]. We will now take our first question, please go ahead, your line is now open. 
Poe Fratt: Hi, this is Poe Fratt from Noble Capital Markets. I just wanted to know, sort of your – you gave us $9,000 number for the first quarter for contract cover. You said second quarter it's going to be down slightly. Could you – I'm not sure, I heard a number, but do you have that number handy?
Aristides Pittas: It will depend a little bit on the two ships that come open during that quarter and will need to be re-chartered. So, depending on how they are re-chartered, it should be a number I would think the other should be again a number of between $8,500 and $9,000.
Poe Fratt: And then as we look at into IMO 2020 hitting, are you contemplating the change in your contracting for empty in all or potentially assuming you are not going to install any scrubbers, but whether that impacts your thinking or contracting?
Aristides Pittas: Not really. Of course, as we have already six charters apparent into 2020. We have the relevant clauses in the charter party saying that we will clean the tanks and be ready to take the fuel that the charterers will want to put on the ships at that time. So, there has been a preparation to use blended fuels or gasoil, but clean fuel, and specific provisions are there on the charter party. As you know, when you fix time charters, the charterers that essentially pay for the cost of the fuel and all that stuff. So, they will have to provide us with the right kind of fuel. We are not installing scrubbers and we think it's a big risk especially for the smaller ships, with so many unknowns still on how they are going to work if they are going to be allowed. We just heard today that there is thought that on the Artic, the heavy fuel will be totally disallowed. I don't know what will happen. But we are not taking that risk on our ships.
Poe Fratt: And as far as the outlook for M&A, if you just give us an idea and then also your customer base, liners are continuing to consolidate and any impact from that you see on that going forward?
Aristides Pittas: On the customer base matters, I think there hasn't been any substantial consolidation during this last six months or a year. They are the same. We know most of the charterers very well, have direct discussion with most of them, so nothing really has changed there. And as you can see, we've been able to employ all our ships lately in direct continuation of existing charters. So, things are improving just a little bit and we hope that now after the Chinese New Year, we will see a further improvement. And what as your first question, I forgot.
Poe Fratt: The M&A.
Aristides Pittas: On the M&A front, there are a couple of parties that we have had some initial discussions that we will not proceed with any such deal unless it is – it makes sense for ourselves or unless the parties that would like to merge with us and become part of a listed platform, are there to accept an NAV to NAV transaction. That means if we were trading significantly below NAV today, and this is something that some of the parties – or most of the parties that we've discussed do not want to face at this point in time. So, if we find something attractive, and which provides additional synergies, we will do it. If we don't, we will continue growing organically, raising equity when the time is right, maybe, you know getting a couple of additional ships in the fleet and also gradually replacing the older vessels with younger ones. Okay.
Operator: Sir, does that answer your question?
Aristides Pittas: Let's move to the next one.
Operator: Thank you. We will now take the question. Please go ahead, you line is now open.
James Jang: Hi guys, this is James, calling from Maxim. So, fourth quarter was also in fact strong, but moving onto 2019, so looking at the vessels that will re-charter, it looks like rates have come down. Is the sentiment kind of poor for the first half of the year because of the ongoing trade or what's going on here?
Aristides Pittas: I think this is the main reason sentiment because of the trade wars is poor. This has led to slower growth worldwide and less trade. And this has affected charter rates, this has resulted in ships being idled. This idling seems to gradually be improving. We think that this month we'll show an even bigger improvement in having less idle ships. So, we think that, especially if there is a solution found and the trade wars end, we think that we will see a recovery in the market.
James Jang: Okay. So, then why – I just have to ask, why would you charter some of the vessels up until the fourth quarter at much lower rates? Do you think this poor sentiment is going to drag out through the rest of the year?
Aristides Pittas: To be honest, we did not have a lot of bargaining power during this last two or three months, because there has been quite a lot of idle vessels and charterers have been taking the opportunity to press for longer periods where they can in order to take advantage of the low rate. I think charterers also believe that the second half of the year is going to be stronger and taking this opportunity to you know fix for us much as they could at low numbers.
James Jang: Okay. And for the re-delivery range, is that the option of the charterer or is this something that you guys can have the vessels be delivered as soon as possible?
Aristides Pittas: No, this is only charterers' option. This is how the market works, its charterers' option.
James Jang: Okay, great. And then just piggybacking off of that M&A stuff, so is there any option to possibly bring in some of the old Euromar vessels into Euroseas?
Aristides Pittas: At this stage, I don't think that this is under consideration. This could be done probably in consumption with a bigger deal if that happens.
Tasos Aslidis: But these vessels are owned by partly by other investor, so it's – they have to consent as well.
James Jang: Got you. Okay. Because it seems the smaller I guess 2,000 – around 2,500, those vessels are still in high demand and I guess, the intermediate feeders, right?
Aristides Pittas: Yes, it's – the biggest, the largest amount of still idle vessels is between 1,000 and 2,000 teu, up from 2,000 to 3,000 teu, there is much, much less idle vessels.
James Jang: And is that just due to trade dynamics and port infrastructure or just those smaller vessels that fall out of favor?
Aristides Pittas: I think it's – no, I don't think it's that the vessels are falling out of favor. In fact we've seen a lot of the operators in 2018 go out and order vessels of this size. So, the need is usually there. I think it's more of a temporary issue, but other than anything more structural.
James Jang: Alright, well, thanks for the color guys. I'll jump off now.
Aristides Pittas: Thank you. Thank you James.
Operator: Thank you. There are no further questions at this time. I would now like to hand the floor back over to Mr. Pittas for any closing remarks. Please go ahead, sir.
Aristides Pittas: Thank you all for listening in to our end of 2018 results. We will be with you again to discuss our Q1 2019 results in three month time.
Tasos Aslidis: Thanks everybody for attending.
Operator: Thank you ladies and gentlemen. That does conclude our conference for today. Thank you all for participating. You may now disconnect.
Aristides Pittas: Thank you. Bye-bye.